Operator: Good day and welcome to the Equifax Fourth Quarter 2018 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Trevor Burns, Investor Relations. Please go ahead sir.
Trevor Burns: Thanks and good morning. Welcome to today’s conference call. I’m Trevor Burns, Investor Relations. With me today are Mark Begor, Chief Executive Officer; and John Gamble, Chief Financial Officer. Today’s call is being recorded. An archive of the recording will be available later today in the Investor Relations section in the About Equifax tab of our website at www.equifax.com. During this call, we will be making certain forward-looking statements, including first quarter and full-year 2019 guidance to help you understand Equifax and its business environment. These statements involve a number of risk factors, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in filings with the SEC, including our 2018 Form 10-K and subsequent filings. Also, we will be referring to certain non-GAAP financial measures including adjusted EPS attributable to Equifax and adjusted EBITDA, which will be adjusted for certain items that affect the comparability of our underlying operational performance. For the fourth quarter of 2018, adjusted EPS attributable to Equifax excludes costs associated with the realignment of internal resources and other activities, acquisition-related amortization expense, the income tax effects of stock awards recognized upon vesting or settlement and foreign currency losses from remeasuring the Argentinean peso denominated net monetary assets. Adjusted EPS attributable to Equifax also excludes legal and professional fees related to the cybersecurity incidents, principally fees relating to our outstanding litigation and government investigations as well as the incremental project cost designed to enhance technology and data security. This includes projects to implement systems and processes to enhance our technology and data security infrastructure, as well as our projects to replace and substantially consolidate our global networking systems, as well as the cost to manage these projects. These projects that will transform our technology infrastructure and further enhance our data security were incurred throughout 2018 and are expected to occur in 2019 and in 2020. Adjusted EBITDA has defined as net income attributable to Equifax adding back interest expense, net of interest income, income tax expense; depreciation and amortization; and also as the case for adjusted EPS, excluding cost related to 2017 cybersecurity incident, cost associated with the realignment of internal resources and other activities and foreign currency losses from remeasuring the Argentinean peso denominated net monetary assets. These non-GAAP measures are detailed in reconciliation tables, which are included with our earnings release and are also posted on our website. In addition to the non-GAAP measures that we posted on our website we are now posting certain supplemental financial information on our Investor Relations deck on our website to better help you understand our business. In the Form 10-K to be filed later today, we will disclose that future losses from litigation and regulatory investigations associated with the 2017 cybersecurity incident are reasonably possible, but not yet estimable at this stage in the proceedings. Now, I’d like to turn it over to Mark.
Mark Begor: Thanks, Trevor. Good morning, everyone. I’ll start to discuss this morning with a few minutes on our fourth quarter results and then move to a discussion on our strategy, technology transformation, and 2019 guidance. So first on the fourth quarter. Revenue came in at $835 million, which was up 2% in constant currency. This was at the – inside the range that we had given you a few months ago, but at the low end of that guidance. During the quarter, we experienced a weaker-than-expected U.S. mortgage market as inquiries were down approximately 15% or about 500 basis points weaker than we expected. Versus the fourth quarter 2017, a weaker mortgage market impacted overall revenue growth by about 2% and versus our guidance by just under $500 million – I’m sorry, $5 million. The mortgage market declines have been challenging to forecast well. Excluding this mortgage market impact, overall revenue growth was about 4%, which we were pleased with. Importantly, USIS revenue grew almost 2% excluding the impact of the declining U.S. mortgage market. EWS reported growth of the strong 12% and international local currency revenue growth of 5% was impacted by a soft Australia and Argentinean market, and in line with the third quarter. USIS growth of 2% excluding the mortgage market impact was another sequential quarterly growth for that business as it continues to return to a growth mode. Adjusted EPS of a $1.38 per share, includes $0.04 per share due to a lower tax rate than in our October guidance. Adjusting for the incremental tax benefit, adjusted EPS of a $1.34 per share was about $0.02 above the midpoint of the guidance we provided last October. Total non-recurring and one-time costs in the fourth quarter were $181 million. This includes $114 million of technology and security, $12 million of legal and regulatory, $9 million for consumer support, and $46 million for the cost reduction action we executed late in the quarter. In our Investor Relations presentation on our website, we’ve included a chart that detailed the breakdown of these costs for each quarter of 2018, as well as our guidance for 2019. So now a few more comments on the business units in the fourth quarter. As I mentioned, USIS revenue was down 2% on a reported basis compared to last year, but importantly, USIS was up 2% excluding the 400 basis point impact of the mortgage market. For us, this is a positive sign of continued improvement and a return to a growth mode for this critical business inside of Equifax. Online was up slightly overall and was up 4% excluding the mortgage market. This is the second quarter in a row we’ve seen Online growth excluding the mortgage market impact. Mortgage Solutions was down double-digits as expected given the decline in the mortgage market, and to a lesser extent channel shift with mortgage resellers, partially offset by new products we introduced early in 2018. CMS or Credit Marketing Services was up about 2%, which is the first time we’ve seen growth in this segment since the first quarter of 2018. Overall Financial Marketing Services was down about 1% as IXI saw volume declines. In our Commercial and Telecom and Utilities segments, both grew double-digits in the quarter. As you can see, absent the substantial impact of a declining mortgage market, we’re starting to see growth in recovery in USIS, which we expect to continue in 2019. In terms of our U.S. customers, we’re back to selling across the portfolio of our customer base. As we discussed on prior calls, the substantial progress with customers started in mid-2018 and so given our six to 18 months sales cycle, we should start to see those benefits of being in a commercial mode with our customers during the early part in first half of 2019, with accelerating improvements in the second half of 2019. We continue to believe that our differentiated data assets coupled with our technology investments will return USIS to its traditional growth mode, but we remain cautious about the pace of the recovery, given the complexities of dealing with new customers and dealing with existing customers on new products. USIS adjusted EBITDA margins of 47.5% were down from fourth quarter 2017 or at the highest levels in 2018. I’m sure you saw our announcement, a week ago, that Sid Singh joined us as President of USIS. Sid joins us from Global Payments where he served as Group President of Integrated Solutions and Vertical Markets. Sid brings a deep understanding of unique data and how to accelerate product development through leveraging data analytics and advanced technology platforms. He is a high energy growth leader with real depth in technology and an intense focus on customers. Sid joined Global Payments in 2006 and was instrumental in developing the technology and software-led business strategy to help transform Global Payments into a highly differentiated payments leader. Prior to his work at Global Payments, Sid held senior management positions with HSBC and Citibank. We are thrilled to have Sid joining our leadership team. As you saw in the announcement, a week ago also, Paulino has agreed to work closely with Sid on his transition and help me with our strategy, M&A and partnership efforts. Both Paulino and I will work closely with Sid to drive USIS back to growth and to assist in his transition into Equifax. USIS continues to be a personal priority of me and the entire company. Shifting now to Workforce Solutions, that business had a very strong quarter with revenue up 12%. Verification Services was very strong in the quarter with revenue up 15%, driven by strong double-digit growth across healthcare, government talent solutions, debt management, card and auto. EWS like USIS was also impacted by the decline in the overall mortgage market, which negatively impacted their revenue growth by about 400 basis points. Ex-mortgage, EWS would have been up a very strong 16%. Employer Services also grew in the quarter up 6%, principally driven by growth in I-9 and onboarding services. The strong verifier growth resulted in a very strong adjusted EBITDA margins of 48.7% or an expansion in the quarter of 320 basis points. As I have indicated before, Rudy and his entire team are laser-focused on the Work Number record growth. The team continues to execute on a strategy to identify and acquire new data contributors to expand its data assets. The team added more records in the fourth quarter than any prior quarter over the past five years. Total Work Number records are now approaching 90 million, and I think as you know from your experience with the company, when we add a new record its quickly monetized. We expect this Work Number growth to continue in 2019. EWS is clearly an extremely attractive franchise business for Equifax with big growth potential in the future. International revenue was down on a reported basis 3%, but up 5% in local currency, which was about consistent with third quarter 2018 but weaker than the 8% delivered in the first half of 2018. This slower growth in the second half of 2018 continues to be driven by the weak consumer and commercial lending markets in Australia that really started to soften in September and the ongoing weak economic conditions in Argentina. Our Latin America business grew high single digits in local currency in the fourth quarter, despite the continued headwinds in Argentina that began early in 2018. Revenue growth was driven by double-digit constant currency growth in Chile, Ecuador, Paraguay, and Mexico, and high single-digit growth in Argentina and Uruguay. Our Latin America franchises are benefiting from the expansion of Ignite and InterConnect SaaS in 2018, which we rolled out and strong NPI rollouts in both 2017 and 2018. Our European business grew between mid and high single digits in local currency in the fourth quarter. We continue to see high single-digit local currency growth in our European credit operations. And as we expected, our European debt management business started to return to growth in the fourth quarter. Shifting to Canada. Our business in Canada grew mid-single digits in local currency in the fourth quarter, slightly below our expectation reflecting the timing of some project-based revenues between quarters. Canada’s full year local currency revenue growth of 8% with broad based, reflecting our focus on customer innovation and new products. Our Asia-Pacific business grew low single-digits in local currency in the fourth quarter, down from the 10% plus growth seen in the first half of 2018, and consistent with the weakening we began to see in September around consumer lending, particularly mortgage and other consumer credit markets in Australia. While we expect to see continued weakness in Australia credit markets as we move into 2019, we’re focused on innovative new customer solutions specifically in our Australian commercial business. Adjusted International EBITDA margins at 32.4% were up nicely in the fourth quarter, reflecting improvements in Europe and Asia-Pacific. I continue to be excited about our international business in the collaborative and innovation growth focus we are seeing from John and our Global team. Global Consumer Solutions revenue declined 12% on a reported and local currency basis in the fourth quarter and was in line with our expectations. As we’ve discussed throughout 2018, our GCS U.S. Consumer Direct business saw substantial revenue declines as a result of our suspension of U.S. consumer advertising in the fall of 2017 after the cybersecurity incident. U.S. Consumer Direct business revenue declined almost 25% in the fourth quarter to $27 million and was down over $40 million to $118 million for the full year. Dann and his team began limited direct marketing to U.S. consumers in October and that continued through the fourth quarter and into 2019. While our marketing investment in the fourth quarter was lower than historical levels, we saw subscriber growth at cost that were consistent with our expectations, a very positive sign as we enter 2019. Our GCS partner business which include ID Watchdog delivered high single-digit growth in the fourth quarter and double-digit growth for the year. We expect ID Watchdog to continue to grow double-digits and continue to see growth – nice growth opportunities in our partner business, both in U.S. and internationally. Adjusted EBITDA margins in GCS declined to 21.1% in the fourth quarter as expected, as we saw the impact of the revenue loss and the impact are beginning to ramp our advertising as we went into the marketplace. We expect margins in GCS to increase in 2019 as we see the benefit of fourth quarter and early 2019 advertising, and leverage our growing partner revenue. So before I get into discussion of 2019, I’d like to take a minute to look back on 2018, which was clearly a challenging year for Equifax by any measure. The 2017 cybersecurity incident had a massive impact on our business on many fronts, and we entered 2018 with a great deal of uncertainty, from changes including team leadership positions, including the CEO role, U.S. customer concerns that we worked on throughout the year. Our competitors clearly took aggressive actions when we were on our heels. You know we were addressing a wide range of legal and regulatory matters, and we’re executing on a multi-year security and technology transformation. So looking back, although our path to returning to our traditional growth mode is taking longer than we expected, we’ve made very strong steps forward in 2018 and our path back to growth in market leadership. I’m very proud of several key accomplishments. First, data security was a primary focus for our team and we made great progress, including instilling a security first culture across all of Equifax. We have a much stronger data security infrastructure and are committed to continuing to invest to be the industry leader in data security. We launched our multiyear technology investment transformation program that will take our technology to market leading capabilities and deliver a cost savings and speeder market – speeder products to market. This is a transformational investment and I’ll cover this in more detail in a few minutes. We also made great strides in protecting and empowering consumers launching new free services like Lock and Alert to lock and freeze consumers’ credit files. In our USIS business, we made massive steps towards regaining the trust of our customers and partners and are now positioned to operate in a normal commercial mode. And lastly, we refined our go-forward strategy and execution plans for the next two years that internally and externally we’re calling EFX 2020. I’ll cover this in a more detail shortly. We could not have accomplished these goals without the hard work and dedication of our 11,000 employees around the globe. We clearly have work to do in 2019, but 2018 set us up with a solid foundation for returning Equifax to growth and market leadership. So let me turn to 2019 as well as a few comments looking forward to 2020. Since joining in Equifax last April, I’ve learned a great deal about the company and the state of the business. When I joined I was clear that I believe this strategy and direction of the company was sound, and I continue to believe that is true. However, there are some critical areas in which we must sharpen our focus to return to and exceed the levels of performance we delivered in the past. In late 2018, we launched what we are calling EFX 2020 as a framework for our investments and priorities for the future. These strategic initiatives that will make up our EFX 2020 strategy represented blending of the successful strategy in place when I arrived in these new focus areas. First, Equifax is a data analytics technology company. To be a technology company, we need to deliver market-leading technology embed that technologies as part of our products. We are convinced that our massive technology transformation to the cloud will differentiate our products by combining unique data assets, analytics and leading technology and will allow us to accelerate the speed of our new products to market in the ease which they’re consumed by our customers. I’ll talk a lot more about this in a minute when I discuss our technology transformation in more detail. Number two. Being an industrial leader in data security, this is and will remain our – will remain central to our culture and our commitment. We made massive progress in the past 18 months and we still have more to do – more work to do. We are committed to be an industry leader on security. Number three. Creating a culture of customer centricity. We talked on prior calls about how important this is to me, and this is how I operate as a business leader, and this starts by getting our people closer to customers, adding more feet on the street, our renewed focus on new verticals like FinTech, embedding our data scientist and Ignite technology with our customers on their sites, collaborating with customers in our DNA labs to do products that they need and embracing partners, the strength Equifax has and one that we are going to expand. All of these efforts are focused on accelerating innovation and growth, jointly with our customers, partners, to drive new products and to drive growth. This is an area which we’re doubling down on. Number four. Being a market leader in data analytics through leveraging unique data assets in the application of artificial intelligence, machine learning and advanced visualization on the leading edge of delivery platforms is critical to our future. To be a market leader, we must with collaborate customers and partners broadly, and we must prioritize investment through the acquisition of new unique data sources. We have differentiated data assets like NC Plus and TWN where we will continue to invest heavily in new data sets organically and through M&A like with our data acquisition last summer and through partnerships. This is a critical priority. Number five. Improve the consumer experience by providing value-added services through consumer centric digital and voice consumer support. We’re building leading edge services and we will be rolling them out beginning in 2019 that will enhance our customer experience. Number six. Bringing innovative new products to market in collaboration with our customers, leveraging our global data assets is always been a strength of Equifax. We are refocusing on our speed to market and leveraging products across our global footprint. These six initiatives are all focused on driving revenue and profitable growth for our customers and our shareholders and returning Equifax to a growth mode and market leadership. To succeed on each of these initiatives, we are also refocused on our execution and delivery. Say do, that’s how I operate. Making and meeting commitments. This was an Equifax strength and it will be again. Shifting to the technology transformation we started in 2018. It’s is critical to delivery of all of our strategic imperatives and it will provide us with substantial product delivery and cost advantages. Our EFX 2020 technology program is the largest investment program in Equifax history and is the complete focus of the entire leadership team. This is not a technology project. This is a technology and business led transformation of Equifax. During the second half of 2018, we provided guidance that our security and technology investment plan would continue not only in 2018, but through 2019 and 2020. We also told you that we provide you a framework around our security and technology plan early in 2019 and we’re going to do that today. In 2018, we spent $307 million and expect Equifax 2020 spending to continue during 2019 and 2020. We plan to spend $300 million this year in 2019. In 2020, the spend will be below our 2019 runway. Including incremental capital spending between 2018 and 2020, we will invest an incremental $1.25 billion to modernize our global technology and security infrastructure. We are convinced this will differentiate Equifax and move us back into a market leading position. There’s three basic principles that underpin our Equifax 2020 technology strategy that we’re executing. First, cloud first and cloud native. This focus – this effort is focused on moving our legacy mainframe in server technology to the public cloud using native services provided by the public cloud providers to the greatest extent possible. This includes our network and transportation. From a security perspective, we will implement generally in virtual private clouds or private instances on the public cloud infrastructure. Second, we’re going to build on application services principles. This isn’t a new concept, but it’s is critical if we are successfully execute the cloud first and native technology strategy. In concept, this mean building services or components that can be easily assembled or interconnected using standard APIs. Again, this is not new, but it takes a tremendous amount of discipline to execute it. Number three. Our relentless focus on rationalization. As we build our company for the future, it’s critical that we remain focused on decommissioning our legacy data centers, applications, data platforms and servers. This will ensure we reached the robust security posture and long-term operational cost improvements we’re committed to. Number four, and most important is great talent. You’ve heard me talk and us talk about our new technology team led by Bryson Koehler. Bryson has upgraded over 50% of his leadership team in the last six months with top talent from market-leading technology organizations. We’re building the right team to execute this critical transformation. We’ve five major tracks to our technology transformation. These tracks underpinned by detailed resource plans and timelines are expected to be executed between 2019 and 2020. In the Investor Relations deck that we posted via our IR website this morning, we’ve diagrams for these tracks. Here is a summary. First, we will implement a common data fabric for data ingestion, governance, enrichment and management. The data fabric replaces our multiple current purpose-built data ingestion, cleansing and matching processes and systems, and the data exchanges themselves. For example, Acro, a U.S. credit exchange in the Work Number. Our data fabric is being built on the Google Go – Google Cloud platform in a virtual private cloud environment using Google’s native tooling. By executing in its way, we can take advantage of Google’s vast scale, and more importantly, the leading edge tools that are proven its scale and speed and that Google uses themselves. Our new data fabric will conceptually be one repository as opposed to the many siloed databases that we have today. This single data fabric will deliver seamless real-time integration and data access across our many unique data sources. As I indicated, our data fabric is already in place with Google Cloud and in the first half of 2019, we’ll be rolling that out. We’ll have our U.S. ACRO credit exchange and TWN EWS exchange running in parallel with our current systems and available for multi-data insights in the first half of 2019. Several of our other U.S. and EWS exchanges including NCTUE, IXI, DataX in an unemployment claims, as well as Ignite will migrate to the common data cloud fabric by the end of 2019. We will begin decommissioning existing exchanges that we have migrated to the data fabric in early 2020. We will continue this migration of our U.S. and global exchanges to the data fabric throughout 2020. Second, we will rebuild or migrate our customer applications using standard application in cloud native services and operate them in the public cloud. Fortunately, this track is one Equifax started a number of years ago in 2016, with the initiation of InterConnect SaaS product, which is a set of application services that offers a global data gateway decisioning, using sparkling logic in an API framework. This continue with the launch of our Ignite application, which is a market-leading, analytical application that allows customers to easily Equifax third-party and their own attributes and data for analytics and modeling. Over the past year, Equifax has worked to migrate these applications to a virtual private cloud utilizing cloud native services. We are also making great progress in integrating Ignite and InterConnect app services to allow customers to seamlessly promote attribution models defined in Ignite, including those driven by machine learning into production on InterConnect. We’re working to make this broadly available by the end of the first quarter of 2019. In the fourth quarter, we completed implementation of Ignite Direct and InterConnect in a virtual private cloud in Europe and Latin America. Deployments of Ignite Direct with InterConnect in U.S., Canada and Asia-Pacific are to be completed in the first quarter of 2019. Ignite marketplace was deployed for all regions in 2018 and is expected to be cloud native by the later part of 2019. This same process will be followed to build new applications or migrate existing applications going forward. Third, we will migrate customers from legacy decisioning systems, interface systems and Ignite instances to InterConnect SaaS and Ignite in the cloud. Globally, Equifax has over 4,000 customers operating on an Equifax decisioning or analytical system. Over 2019 and 2020, we expect to migrate the vast majority of these customers to standard InterConnect SaaS and Ignite cloud applications. In USIS, we expect to migrate 60% of our customers by the end of 2019 with the vast majority of customers migrating by the end of 2020. Similar plans are in place for each region around the globe. Fourth, we will migrate our global consumer systems and customer and consumer support systems using standard application services and cloud data services and operate them on the public cloud. Fortunately, this is also attractive as we started several years ago. Our new consumer system that will include digital consumer support called, Renaissance, is in the process of being migrated to a virtual private cloud environment utilizing cloud data services. We launched Renaissance in Canada in the fourth quarter and will launch in the U.S. in mid-2019. Separately, we are deploying sales force in Genesis for customer and consumer support worldwide. We expect significant deployment of all these systems to be ongoing throughout 2019. Last, we’ll move corporate in some of our business support applications to SaaS services and public cloud. For example, Equifax will be moving its email and collaboration to Google Gmail during the early part of 2019. Oracle Financial Systems will operate on EWS in the second quarter and our sales management applications will be moved to the sales force cloud between 2019 and 2020. I hope this gives you a sense of the pace and urgency of our technology transformation, as well as the measurable and real progress we are already making as we deliver new cloud-based technology to our customers. As I referenced earlier, diagrams of these tracks are provided on our Investor Relations deck on our website. During 2019, we plan to have our new technology leader Bryson Koehler provide more details to you around our Equifax 2020 technology plan, and John will provide some more details on the cost estimates to execute this plan in his portion of the presentation this morning. All of these actions are being executed consistent with our commitment to be a leader in data analytics and technology. We’re convinced that this a transformational investment for Equifax. And I want to make it clear one more time. This is not a technology refresh. We are changing how the way we operate, the way we go to market, in the way we serve our customers through technology. We made strong steps forward in the fourth quarter and we’ll continue our efforts in 2019 and 2020 as we complete elements of our multi-year plan on a monthly basis going forward. As we discussed on the last call and to align with our strategic goals, we did make some structural changes within Equifax, focused on driving more of our resources and decision-making closer to customers and further optimizing our resource structure. As you may recall, in August, we realigned our resources and decision-making to move our organization closer to market – market-facing business unit teams and away from headquarters. This is an important element of how I operate of having our teams closer and more focused with our customers. In the fourth quarter, we completed a plan to optimize our G&A and headquarters costs. In connection with these activities, we took a one-time charge in the fourth quarter of $46 million. While these actions are expected to improve our margins, we plan to reinvest some of the cost savings into more DNA resources and more sales resources to drive growth. We’re also moving to embed more of our commercial and DNA resources in our customers’ locations to further drive engagement, service and growth. Net full year run rate savings from this fourth quarter action are expected to exceed $50 million. I’m energized about the steps we’re taking to move our organization closer to customers and markets. Shifting to new product innovation. This remains a key priority and a real Equifax strength. We have an active pipeline of new product introductions with over 100 new products at various stages in the funnel and we launched 61 new products last year, consistent with the number we launched in 2017 and 2016. And as we talked on prior calls, protecting the resources and technology resources around NPI was critical to us in 2018. NPI and new product growth is a real strength and focus of Equifax. I talked about the growth potential Workforce Solutions being in the second inning, a reference to the amount of run rate – runway they have in front of them to grow their database as well as provide innovative new solutions. Recently, Workforce Solutions identified two new use cases for their Work Number. The first use is our data with consumer consent to allow for enhanced identity matching. Identity matching has become an increasingly challenging issue for most of our customers and have a unique data assets like the Work Number is improving our customers’ processes and workflow and allowing consumers to more easily obtain the services and benefits they need. The second new use case, also using our verification data, help FinTech customers and the online digital lending customers provide a frictionless and superior consumer lending experience by providing better lending decisions in a streamlined and automated manner. As our FinTech and online lending customers look to expand lending to near and subprime customers, while controlling for risk, our new Work Number database provides meaningful data to make better decisions, benefiting both consumers and our customers. So now let me shift gears and take a look at 2019 guidance. For 2019, we expect total revenue to be between $3.425 billion and $3.525 billion, reflecting currency revenue growth of 2% to 5%. This assumes the U.S. mortgage market will decline about 5% in 2019 or about 1% headwind to our revenue growth. FX will negatively impact revenue adjusted EPS by just over 100 basis points. USIS revenue expected to be up slightly in 2019, including the approximately 150 basis point negative impact from the U.S. mortgage market decline. First half growth will be more negatively impacted by the mortgage decline from a comparison standpoint. EWS revenue growth will strengthen from 2018 with growth approaching 10%. Verification Services, we expect to deliver very strong growth and employer services flat to up slightly. International revenue growth will grow about 5%. First half growth being impacted by continued weakness in Australia lending markets and the Argentinean economy, and we are expecting to return to high-single digit growth in the second half of 2019. And lastly, GCS revenue will be flat in 2019. First half revenue will decline year-over-year and we expect to return to growth in the second half of 2019 based on the new efforts that we have in marketing inside of that business. For 2019, we expect adjusted EPS to be between $5.60 and $5.80 per share, reflecting constant currency improvement of about 1.75% to down 1.75%. We expect to see expanded business unit EBITDA margins of about 50 basis points, led by nice revenue growth and margin growth at Workforce, to drive increased operating profit and EBITDA dollars from business units. Offsetting our increased margins are really three principal factors: number one, higher corporate costs of about $25 million, principally in security and related technology investments; second, increased interest expense of about $5 million reflecting the refinancing executed midway through 2018; and third, a slightly higher tax rate of 24% in 2019. John will provide more details on our guidance, EFX 2020, investment plans for 2019 and 2020, as well as a significant market factors impacting the first half of 2019. Wrapping up. Equifax has made strong progress in 2018 in regaining the trust of our customers and partners. We moved back to a growth mode with our customers. And we completed the first phase of our three-year EFX 2020 transformation plan. We are confident that we’re moving in the right direction, but we know we still have a lot of work to do. We’re investing at record levels to make Equifax a market leader in data analytics, technology and security. We’re excited about our future and the opportunities ahead. With that, let me turn it over to John.
John Gamble: Thanks, Mark, and good morning everyone. I will generally be referring to the financial results from continuing operations represented on a GAAP basis, but will refer to non-GAAP results as well. As Trevor mentioned, we have excluded certain items from our GAAP results in order to calculate adjusted EBITDA margin and adjusted EPS. We’ve provided the details on these items in our earnings release, so you can consider them in your analysis. As Mark covered our overall results and the business unit details, I’ll cover overall margin, some corporate items, and provide the additional detail on our guidance. In the fourth quarter, general corporate expense was $168 million. Excluding the non-recurring costs associated with the cybersecurity incident and the costs associated with the realignment of internal resources, the adjusted general corporate expense for the quarter was $76 million, up $23 million from 4Q 2017. The increase principally reflects three items: increased investment in security and transformation and related technologies; increased variable compensation reflecting the reduced compensation in 4Q 2017, following the cyber attack; and cost of Lock and Alert, the free consumer service launched in 2018. Adjusted EBITDA margin was 33.2% in 4Q 2018, down 160 basis points from 4Q 2017. The business unit adjusted EBITDA margin in total were up 50 basis points, as Workforce and the international, both grew EBITDA margins nicely year-to-year and USIS saw other margins increased sequentially. The decline in adjusted EBITDA margins is principally due to the increases in corporate cost I just discussed, as well as lower GCS margins as we have started to advertise. For 4Q 2018, the effective tax rate used in calculating adjusted EPS was 21.4%. In our 4Q guidance in October, we indicated that we expected our 4Q 2018 effective tax rate used for adjusted EPS to be about 24%. The lower tax rate reflects the reduction in our ongoing foreign tax rate due to recently issued guidance concerning the 2017 Tax Act, as well as the year-to-date catch up in 4Q 2018. The benefit between the 21.4% effective tax rate achieved and 24% was a benefit of about $0.04 a share. For 1Q 2019 and calendar year 2019, we expect our effective tax rate used in calculating adjusted EPS to be about 24%. Our effective tax rate for adjusted EPS in 2018 was 22.6%. Now turning to 2019, I’d like to provide some details on the guidance Mark provided and some perspective on the changes from 2018. A few important assumptions underpinning our 2019 guidance: FX is expected to negatively impact by just over 1% and adjusted EPS by approximately $0.08 a share. The greatest impact on revenue will be in the first and second quarter at negative 3% and 2% respectively. U.S. mortgage market inquiries for all of 2019 are expected to decline about 5%. 1Q 2019 increase are expected to be weak, down about 13%, just slightly better than we saw in 4Q 2018. 2Q 2019 increase are expected to be down mid-single digits and we expect increase to continue to improve, getting to be about flat in 3Q and slightly positive in 4Q. The impact of the mortgage market on Equifax growth is significant in the first half of 2019, impacting total revenue negatively by about 2.5% and 1% in 1Q and 2Q respectively, and then becoming positive in 4Q just under one point. For USIS, the impact is more significant, impacting revenue growth negatively by just over 4% and about 1% in 1Q and 2Q respectively, and positively by about 1% in the fourth quarter. The impact on Workforce is negative about 3% and 1.5% in 1Q and 2Q respectively, and positive about 1% in the fourth quarter. Australian credit markets are expected to stay weak through Q2 2019, and then begin to improve in the second half. We’re assuming Argentina’s economic crisis will continue through 2Q and then begin to abate in the second half with the economy remaining weak throughout the year. The weakness in Australia and Argentina through the first half are expected to impact International revenue growth negatively by about 2% in the first half of the year. As we look to our guidance for 2019, these market factors, specifically the U.S. mortgage market, and Australia and Argentina market conditions, have a substantial negative impact on 1Q 2019 and 2Q 2019 constant currency revenue growth. 1Q and 2Q revenue growth are negatively impacted by roughly 3% and 1.5% respectively with this impact expected to actually swing positive – slightly positive by 4Q. This also impacts adjusted EPS. If we are looking at 1Q 2019, the negative three percentage points of revenue impact versus 1Q 2018, is about $25 million of revenue. At Equifax, average gross profit that revenue reduction impacts operating profit by more than $15 million. Three additional factors are impacting quarterly timing and total 2019 results. The quarterly timing of corporate expenses in 2019, as Mark indicated, corporate expenses are expected to increase by – in 2019 by about $25 million, principally in the first half. The increase is primarily in higher security and related technology costs. These cost ramp significantly during 2018, reaching a run rate in the second half. In the first half of 2019, we are seeing significant increases year-to-year as we are now operating at the higher run rate we reached in the second half of 2018. 2019 full year variable and equity comp is up versus 2018, as 2018 variable comp paid out below target and 2019 long-term incentives have been adjusted to support execution over the period of our technology transformation. Additionally, in the first half of 2018, we did not have a full executive leadership team. So equity comp increases are principally in the first half of 2019. We have also increased our investments in data and analytics in 2019 relative to 2018. In total, these increases are partially offset by reduced cost and corporate staff, such as finance, marketing and HR. Approximately, $15 million of the $25 million increase in corporate expenses will be in the first quarter of 2019. Global consumer performance in 1Q 2019 will be down, as in 1Q 2018, U.S. consumer direct revenue was still at relatively high levels, and we had stopped U.S. marketing spend. This will result in 1Q 2019 revenue being down about $5 million and operating profit down about $8 million year-to-year. GCS performance relative to 2018 is expected to improve each quarter in 2019 and we believe show growth as we exit the year. The savings from the cost actions taken in 4Q 2018 will increase as we move through 2019, as well as the planned actions – as the planned actions are completed. Savings in 1Q 2019 are just under $10 million. The increase in our 2019 effective tax rate for adjusted EPS is 24%, reflects the discrete benefits received in 2018 that we do not believe will occur in 2019. We believe our run rate – tax rate is slightly lower in 2019 than 2018. For 1Q 2019, we expect revenue in the range of $840 million to $855 million, reflecting constant currency revenue growth of flat to up just under 2%. We’re expecting adjusted EPS to be $1.15 to $1.20 per share. FX is approximately negative 3% on revenue on 1Q 2019, and negatively impacting adjusted EPS by $0.05 a share. The combination of the market factors impacting revenue and the timing of corporate expenses, cost actions savings and global consumer are impacting 1Q 2019 revenue by about $30 million, operating profit by about $30 million, and adjusted EPS by almost $0.20 a share. As a reminder, these factors are expected to diminish somewhat in the second quarter and actually be a year-to-year positive as we get to the fourth quarter. These factors, as well as increased interest expense of about $0.02 per share is what is driving the decline in adjusted EPS in 1Q 2019. In 2019, we expect to incur approximately $350 million in non-recurring expenses, $300 million in non-recurring security and technology transformation, and $50 million related to legal and regulatory. This does not include the cost of any potential judgments or other outcomes should they occur. For the status of the legal and regulatory matters, I would refer you to our 10-K. Mark provided a perspective on total incremental spending on security and technology transformation over the 2018 to 2020 period. In that calculation, we include the expense on non-recurring security and technology transformation and the incremental capital spending defined as any spending above the $214 million per year we spent in 2017. For 2018, the total incremental spend was about $460 million, and our guidance for 2019 is about $450 million. Beyond 2020, we will not exclude non-recurring security and technology transformation expenses from our adjusted EPS. And with that, operator, we’ll open it up for questions.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from George Mihalos with Cowen. Please go ahead.
George Mihalos: Great. Good morning guys. So, just to kind of kick things off on the guidance, the 2% to 5% outlook for 2019, that high-end is a little higher than what we were thinking, which is good to see. So just wanted to get a sense of what you’re seeing in the marketplace, kind of competitively? How things are shaping up if you’re seeing any sort of changes in some of your key verticals for macro? And then maybe just related to that, I mean to hit that 5%, if you hit the top end given the zero to two you’re starting with, I mean, that would suggest that your growth rate is almost kind of going back to sort of the historic target that you would put out there. How comfortable are you with that?
Mark Begor: Yes. I think, George, it’s Mark here, and John will jump into it. I think you have to look at the pieces of the business obviously. I think you understand EWS pretty well and we’ve been pretty clear that they’re kind of coming out of the fourth quarter quite strong with the record growth that they have. So, there’s a lot of confidence in their growth going forward. GCS is another one that John and I talked about, the kind of sequential improvement in that is going to drive that revenue growth as we go into the fourth quarter and as you know, it was a drag in 2018. International, Australia is clearly a pressure for that business in the kind of latter part of 2018. We expect that to continue through the first couple of quarters of 2019, but then we start getting into a comparison, where it started to decline in September last year that will be helpful from a year-over-year standpoint. And then really the USIS business I think is where you’re probably focusing your question is, their recovery going forward in – we continue to see positive pipeline builds, there’s more discussions in the marketplace, we’re really out of the penalty box with all of our customers that kind of happened months ago and we’re back into a more normal mode with NPI and everything else that we have going on. At the same time, I would say that range reflects, we’re cautious about that recovery and that’s why we want to be clear about that – that recovery has been unpredictable. They’ve got the headwind of mortgage that again starts comping out in the second half of next year, where we expect the declines to abate and that helps from a year-over-year comparison, but the USIS recovery is one that we’re convinced is going to happen. We see signs of it. You look at the fourth quarter performance ex mortgage, we’re pleased with that for USIS and we expect that to continue going forward and the range we try to put in place is to show that there’s some predictability challenges, primarily in USIS. What would you add, John?
John Gamble: Yes. I think Mark covered it very fully. Just one other fact to be aware of, right. If you look at the fourth quarter and you exclude GCS, even with a very weak mortgage market, we had 4% growth again in the other three large businesses. So again, what we think we’re seeing is continued progress, because holding it 4% given that the substantial degradation in the mortgage market, we think again those show that we’re continuing to see progress in the three main businesses. And as Mark said, we do expect to see GCS to substantially better as you get into the end of next year, not because that’s driving lots of growth, they’re simply lapping a lower level of revenues you get in the second half and we’re just expecting that we’re going to start to see subscribers kind of flatten out as they can in our market. So, as we said, we do have a broad range still in our guidance, but those are the factors driving us forward.
George Mihalos: That’s great. Really appreciate the color. And just as a quick follow-up, maybe on the margin front. I think you guys talked about the business units expanding margins by about 50 bps. Any sort of color you can kind of give on a segment level, and then just a point of clarity. It looks like what you’re saying is from an adjusted EBITDA perspective that EBITDA margins will be, call it, flat to somewhat up, given some of the commentary around tax and interest expense working against you? Thanks.
John Gamble: Yes. So as Mark said, looking at the business units, we expect them to be up. It’s really being driven by EWS. EWS is going – we expect to have a nice year, verifier is going to grow very strong, and as you know, verifier revenue is very, very rich in margin. We’re also expecting to see international to be up slightly. USIS margin performance, we think is going to be better than it was this year. It may not be up, but we’re expecting to see much better performance than we saw this year. And GCS, they’re going to be down. We said we’re going to start advertising, so you’re going to see declines. But when you add that all up, we think that’s why we get some comfort that we’re looking at BU margins that are better, again as you look across the range of our guidance that are flattish to up. So we think that’s absolutely a positive sign. Corporate expense, high in the first quarter, right, and it’s high into the first quarter, because of equity. So, you’re seeing corporate expense on an absolute basis should actually decline as you go through the year, because of the fact that the – our equity and variable comp is so much higher in the first half – in first quarter, sorry. And the other thing that benefits us quite honestly is first quarter revenue historically, and this quarter is low. So as revenue grows, the margin effect of those fixed costs in corporate that we’re talking about actually goes down, and that benefits our margins as we go through the year. So you get – you get kind of merge all that together and I think that’s how you get the improving margin performance we’re talking about through the year. Hey, there are risks; Mark talked about them. The biggest risk obviously is sector information. We need to execute for that to be – for us to be successful on our margins and as we move more and more things to the cloud, those costs will certainly start to affect us, but net-net, we think – we think that I covered it pretty full.
George Mihalos: Great.
Operator: And we’ll take our next question from Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Thank you, good morning. My first question, John, maybe you could just help us understand what the free cash flow dynamics are, there’s a lot of moving pieces. Can you just talk about what CapEx should be and how we should think about conversion to free cash flow broadly for the next two years?
John Gamble: Yes. So, I’m not going to go out to two years, right. But in terms of CapEx, I think CapEx for next year – this year, sorry 2019, we’re expecting it to be kind of flat, right, with this year. The other dynamic that you’re going to see in 2019 is that we don’t really have the insurance proceeds recovery, but importantly, as you look at 2018, and obviously, we published our cash flow, the nice thing that you see is our net debt position actually improved as we went through the year. And even with the increased CapEx that substantially increased obviously non-recurring technology investments, as well as some small acquisitions we are able to continue to keep the balance sheet very strong and since we think our operating performance is somewhat consistent in 2019 versus 2018, as well as we’re talking about some lower levels of overall spending in 2019 slightly on the technology transformation, we would expect that we would be able to maintain a good balance sheet position as we go through 2019 as well.
Manav Patnaik: Okay. And Mark, just I guess a broader question. I mean there’s obviously a lot of change, lot of transformation, like you said many times, have to happen, I mean, it’s pretty quick compared to, I guess, what we’ve at least seen before. How do you plan around this to avoid any hiccups? I mean, what’s the – what’s the game plan there broadly and how you’re going to structure this?
Mark Begor: Yes, Manav, it’s a great question. As you might imagine that lost on me and the rest of the leadership team. This is a massive undertaking on our part, it’s one that you have to execute well and what are we doing about it? First, it starts with having great people and I talked about the rebuild of our technology and security organization, and we brought in really talented people that have done this before. Our new technology leader did a full legacy mainframe conversion to cloud it – in its prior business in 18 months. Now, we’re not going to do that quickly, but he’s been there, done that, knows how to do it, he brought in a team to make it happen. So that’s point number one. Point number two is just real rigor around the execution. We have very detailed plans. I’ll try to give you a flavor of that on the call this morning. And you know the other flavor I try to give you is this like things are rolling. We started really this technology transformation in a big way, ramped up in the middle of last year, and we’re starting to see the benefits of that, meaning, things are being delivered to the marketplace in the fourth quarter, the stuff happening – happened in January and February. So, real cadence of delivering these application upgrades. And third is really partnering with the very best. And we talk to a lot of the cloud providers and we use really all of them in different way, shape or form, but I think I highlighted in the call that we’re really focused on partnering with Google, just because of their capabilities, the quality of their cloud, the depth of the cloud is really important to us. So people, real rigor in the process, John and I, and the leadership team, have a regular cadence of looking at the projects of how are they being delivered, are they on cost, are they on budget, are they on time? Okay they’re installed; they’re in the cloud onto the next one. So there’s that kind of rigor around it. But we’re on it is really the approach that I have and it starts with people.
Manav Patnaik: All right. That’s great.
John Gamble: Manav, on your question to me, I just want to make sure I was clear. My commentary doesn’t include the – any impact on the outcome of the regulatory or legal matters that are ongoing. Obviously, those would be on top of – those cash outflows will be on top of anything I just said.
Manav Patnaik: Got it.
Operator: And we’ll move on to our next question from David Togut with Evercore ISI. Please go ahead.
David Togut: Thank you. Good morning. Once you get to the end of Equifax 2020, where do you think you’re going to be most differentiated versus your two primary competitors in terms of major product and service offerings?
Mark Begor: Yes, it starts – to start with, we believe that our speed to market of both ingesting data more quickly, having it easier access by our customers and then really a differentiator is going to be speed of getting new products to market. Today, we’re slower than we’d like to be, for sure and that becomes a competitive disadvantage if your competitors are faster than you are and we really believe this is going to leapfrog in that element, and then the other is going to be costs. Moving these legacy applications to the cloud is we’ve talked many times, we have multiple versions of the same application, we’re going to consolidate to one, then we’re going to move that to the cloud. And then when it’s in the cloud, we can also leverage it across the 24 countries we operate in and not recreate it in each market that we’re in, so that cost leverage is going to be a massive to us. And you actually touched on probably the third leg on this speed, cost, it’s really going to be what are the features and having a differentiated access to our data could be revenue upside. Today, to access some of our multiple siloed database is doable. We have products that bridge across that and technology. When we have that single data fabric, we’re convinced that that’s going to allow our customers and us to really access the wide array of differentiated data we have more easily.
David Togut: Understood. And then once you finish this transformation at the end of 2020, what does the Equifax growth model look like in terms of organic revenue growth, margin expansion, capital allocation, bottom-line growth?
Mark Begor: Yes, David, you probably know from prior calls. We’ve been crystal clear that we’re not prepared to put a long-term framework back in place. We want to do that, we will do that, but there has been a couple of things that we’ve been quite clear about that are going to be important to us to really get nailed down before we’re prepared to do that. First is really seeing a path on our legal and regulatory settlement framework and we don’t have a – we don’t have that framework today. So that’s the one that’s important to us to have real clarity on for you and us before we put a long-term framework in place. Number two is really this technology plan and we’re – we made massive progress in the last six months about getting this plan laid out. We still got some work to do around; really deeply quantifying the financial benefits on top and bottom line. So that’s still on our to-do list, but that’s something that we need to complete to put that inside of our long-term framework. And then third is really USIS, and really seeing some consistency of their return to growth. We’ve seen positive performance kind of quarterly in 2018, that’s been masked somewhat by the headwind that they have in the U.S. mortgage market, but seeing that consistency of recovery from USIS is important to us. So when those three are in place, we’re going to be ready to put our long-term framework back out there.
David Togut: Appreciate it. Thank you.
Operator: And we’ll take our next question from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hi, Mark. Do you see Equifax’s perspective revenue, organic revenue growth acceleration as a zero-sum situation? With the other credit bureaus or do you more see kind of unique offerings to Equifax during your sales pipeline and so really kind of just, I would say, growth opportunities to Equifax?
Mark Begor: Andrew, as you know, it’s probably a mix of the two. We compete hard just like the other guys do for business and we’re out there doing it. We had competitive wins in the last couple of months that I would say you’re – you could characterize them as zero-sum game. That’s one where we move from secondary to primary, whatever, and our competitors are trying to do that to us every day, and that was happening before the breach and you and I have talked a couple of times during 2018. But there’s some unique aspects of our business. When you think about our EWS business, that’s one that’s quite unique. Our competitors don’t have a business like that, and that business growing at the rate it’s growing. I wouldn’t characterize that as a zero-sum game, because it’s really different. You said it’s different markets, et cetera, and our competitors have businesses that we don’t compete with their segments. So, I would say it’s a mix of the two.
Andrew Steinerman: Okay. Thank you.
John Gamble: The other place is international, right. Our international footprint very different than our competitors. So, our opportunity to grow there is different than theirs.
Andrew Steinerman: Okay. Thank you very much.
Mark Begor: Maybe, Andrew, just to add an example, I think we’ve talked before in meetings with you and I about the FinTech space. That’s an example, where it’s a mix of the two. We historically didn’t have the presence that we should have there. Our competitors were much more aggressive commercially. We changed that in 2018. But there is also the element that I talked about in my comments earlier of taking our TWN data assets to the FinTech space is something that’s quite differentiated, our competitors don’t have there. So that’s a great example, where we hope to have some competitive wins in FinTech as we go into 2019, and we’re working on it as we speak, but we’re also bringing new data assets there that we’re really just helping that customer set like others, improve their decisioning.
Andrew Steinerman: Well said. Thank you.
Operator: And we’ll take our next question from Toni Kaplan with Morgan Stanley. Please go ahead.
Jeff Goldstein: Hi. This is Jeff Goldstein on for Toni. I know you’ve previously talked about a $0.40 a share impact from ongoing IT and security, and increased insurance costs relates to the breach. Is that still the expectation baked into the 2019 guidance or has that number moved that all?
Mark Begor: Yes. So, we’re looking forward to 2019, a part of what’s happened, right, part of what we’ve talked about when we talk about the first quarter, we have increased security cost is because we’re lapping the increase in those costs in 2019 from 2018. So, we’re certainly seeing those increases and those increases are continuing and we would expect to see security costs continue to rise, but the – the very large increase that we saw during 2018 and the big one-time step-up in insurance costs, those things occurred in 2018. And so we shouldn’t see the same type of step in 2019, but we will still incur those costs.
Jeff Goldstein: Got it. And then understanding, you said CapEx will be flat year-over-year, but how should we be thinking about the run rate figure of that beyond 2020. Is it back to more like 5% of sales number that occurred before 2017 or is 9% of sales is a better way to think about it given kind of the new Equifax you’re trying to create? Thanks.
John Gamble: So, I think about all we can say at this point is when the transfer maintenance is complete; the CapEx numbers should certainly decline. To give you the exact number, it’s way premature, but it should certainly decline.
Mark Begor: And I think that also, Jeff, you kind of leading into our financial framework, which we’re not prepared to talk about on a long-term basis, but I think John comment – the investment that we’re making should result in that coming down in the future, but I don’t think we’re prepared to talk about what that is yet.
Jeff Goldstein: Got it. Thanks.
Operator: And we’ll take our next question from Kevin McVeigh with Credit Suisse. Please go ahead.
Kevin McVeigh: Great, thanks. Hey, you talked about being out of the penalty box with your customers, any sense of – what kind of the revenue lost on that was in 2018 versus 2017, so we can get a sense of what that opportunities as we scale back into 2019?
John Gamble: Yes. I think you could probably do the math with USIS’s historical growth rate was kind of pre-cybersecurity incident and where it was in 2018 adjourn, it was obviously quite significant.
Mark Begor: You saw our growth and you saw our competitors’ growth, right? So, there was a quite a significant difference, but for us to quantify specifically, that would be very difficult.
Kevin McVeigh: Okay. And then just in terms of the legal and regulatory framework, any sense of from a timing perspective, when that all gets wrapped up?
John Gamble: We put some expanded detail into our 10-K on our regulatory and legal matters, and I’d encourage you to take a look at that disclosure in there, which has a lot of detail about where we stand on that.
Kevin McVeigh: Okay. Thank you.
Operator: And we’ll move on to our next question from Tim McHugh with William Blair. Please go ahead.
Tim McHugh: Thanks. Just wanted to follow-up on the discussion of the technology, I guess. How is that plan that you laid out – did that change meaningfully after pricing came in, I guess, or just in the last three to six months that you kind of move forward with the process. Is that plan any different than in the past? Just trying to understand how it’s developing?
Mark Begor: Dramatically different. When you think about 2018, the first half of 2018, our focus was really on doing a lot of security remediation improvements and all that. And Bryson joined us, his team started to join us. He changed out about half of the team as we roll through the second half of 2018 and his focus was really on helping us refine a plan that is what we talked about today. So, it’s – I would characterize it is dramatically different given his experience, his teams’ experience, there are lessons learned of doing this before. He has really shaped the plan that we’ve put in place. And again, we try to give you a flavor this morning that is detailed that there’s real ownership around specific projects. It’s not like nothing is going to happen between now and 2020, there’s stuff happening every week, meeting deliverable to the marketplace, and I’ll give you a lot of color on things moving in to the cloud in the fourth quarter, in December and January, just kind to keep pacing through. We’ve got a very deliberate and very focused planned to really drive this transformation over the three-year period, but going forward, over the next 22 months in 2019 and 2020.
Tim McHugh: Okay. And on the Verification business, that business seemed to get stronger, I think as you said, at year-end. And I know you talked about new record growth. So, two aspects to the question there. One is why has new record growth been as strong as it is? Are they finding different types of sources to get the data? And secondly, is there another factor, I guess, that maybe as it – are they new kind of use cases, are they really meaningfully moving the needle at this point in terms of the booking...
Mark Begor: You hit both nails on the head, that’s their business model. And you know, they’ve invested heavily in their technology in the last 12 months or so to make it easier for what I would characterize the next year of companies to more easily connect to EWS and provide their data assets, so that’s one, meaning that they’re kind of mid-market customers or companies that have 1,000 employees or 2,000 employees versus 20,000, making it easier for them to commit. As we pointed out, we added more records in the fourth quarter than we have in last five years. I think it’s similar on the number of companies that are now partnering meeting. We’re really ramping that up. So that’s point number one. And inside of that more record growth is just an increased focus in success on partnerships, where we’re working with other payroll providers to have a partnership around getting data from that source as opposed to directly from the company. And then you hit the nail on the head the second side, which is more use cases, whether it’s government that, it’s one that grew for us strong double digits in 2018. We expect that to continue in 2019, meaning, above the average. And just other use cases as we continue to take that growing asset. And then lastly, as I mentioned, and you know this that when we added data – another data record there, another payroll record this afternoon, it monetized tomorrow morning. As just the hit rates go up, the monetization is very, very rapid as you grow that. So, we’ve got a very strong focus and Rudy has a very strong team focused on adding those data assets, and of course, he’s got vertical owners and commercial teams out there, building out how the data is used and how it can help in decisioning in lots of different industry segments. You guys – you know this is a great Equifax business.
Tim McHugh: Okay. Thank you.
Operator: And we’ll take our next question from Shlomo Rosenbaum with Stifel. Please go ahead.
Shlomo Rosenbaum: Hi. Thank you for taking my questions. Hey John, there is just an inherent difficulty in projecting pipeline conversion when you go through a situation, where you have whether it was like a gap and then you had to kind of restart projects and stuff like that. Where do you – how do you feel right now in terms of your ability to forecast their pipeline conversion given the pace of the sales that are going on in the implementations?
John Gamble: Well, you’re clearly correct. Right, as you look through 2018, our ability to forecast our revenue was not nearly as good as it’s been historically. And I think we’ve talked about quite consistently the fact that we expected it to be choppy, right. Our conversion was choppy and our ability to forecast that was choppy. But we feel a little better this quarter than we did last quarter, because if you take a look at fourth quarter performance, really that what we missed based – really heavily based on the mortgage market. And I go back out to the impact of the mortgage market, and we were fairly good in terms of the revenue forecast that we have for the company, a little bit of weakness – a little more weakness in Australia than we guess, but other than that, I think – but relatively good. So we feel a little better given the performance in the fourth quarter, but we also accept, one quarter does not a trend make. So we are focused on getting better. We think our pipeline conversions are improving. We saw way better conversions in sales of batch jobs in USIS in the fourth quarter. All things that give us comfort, that things are getting better and our predictability is improving. But we do caution people that still it’s going to be choppy and it should be less choppy as we move through 2019 and as we get back toward the end of 2019 as Mark talked about with the expected improvement in performance, we’re expecting to start feeling a lot more normal. We would hope as we get toward the end of 2019.
Shlomo Rosenbaum: Okay, thanks. And then just – when you are trying to forecast the mortgage market, are you putting a certain inherent conservatism in there, just as we ran the MBA application index for quarter-to-date last night, it sort of looked like, if you just kind of carry that forward where we are. You would actually have much better mortgage, I guess you could call it – less of a headwind in the first quarter and much better pickup in the rest of the year. Is there something where just given your experience you’re stepping that back a little bit?
Mark Begor: So, we actually use inquiries. So, in theory, at what we’re doing is we’re trending the actual inquiries we received, which I don’t think you have access to. So, we – that’s the index we use. And since we see all inquiries, we think that’s probably relevant in period. So in period, that’s the basis going forward. We use three or four different sources for a third-party input on what we expect to happen with the overall mortgage market, and then we trend the inquiries from that point going forward. So, it’s not only mortgage origination that you’re seeing, but we’re also seeing the impact of whether people are shopping more or less and we try to build that into the forecast. We would really admit forecast in the mortgage market is difficult, it’s difficult for – I think everybody, but certainly difficult for us. We think what we have is a reasonable trend and showing reasonable improvement, but obviously, if the mortgage market gets better, faster, we’ll get the benefit of that, right. If it stays weaker, we’ll see that as well, it’s pretty direct.
Shlomo Rosenbaum: All right. Thank you very much. And John, I just want to comment, it’s the first time I’ve heard the CFO summarizes guidance by saying merge that all together.
Mark Begor: You don’t know John well enough then.
Shlomo Rosenbaum: Thank you.
Operator: And we’ll take our next question from George Tong with Goldman Sachs. Please go ahead.
George Tong: Hi, thanks. Good morning. You acquired DataX earlier in 3Q. Can you tell us what the organic growth was in USIS in the fourth quarter?
Mark Begor: So, the impact of DataX was on the order of less than a point, right?
George Tong: Got it. That’s helpful. I’d like to go back to ongoing data security and insurance costs in the business, you indicated that the step-up in 2019 should be smaller than in 2018. Can you quantify how much in ongoing breach-related costs are embedded into your 2019 guidance?
John Gamble: So, we tried to give two numbers okay. We did indicate that we were going to see continued increases in security. We didn’t try to quantify and this is our run rate, what’s included in adjusted EPS. So, I didn’t quantify a specific number and I think what I could say is, we reached run rate and we’re probably now going to see more normal growth in security spend and security spend growth rates are high, right. So, you should expect to see us grow our security spend like – like many companies would, but not have the significant step-ups we saw in 2018. In terms of our other spend embedded in our technology transformation is obviously investments that certainly improved securities. So, we separately gave a number around the tech transformation spend of about $300 million this year, which is down slightly from 2000 – from 2018. That is not – that is not just security in anyway, but the security spend that’s non-recurring would be embedded in that number.
George Tong: Got it. Thank you.
Mark Begor: Thanks, George.
Operator: And we’ll take our next question from Brett Huff with Stephens. Please go ahead.
Brett Huff: Good morning, guys, and thanks for the additional detail on the strategic and tech plan. That’s helpful. Two questions related to that. Number one is, as you go through that tech refresh or the tech transformation, it’s substantial as you’ve talked about, how do you interact with your clients on that, and I guess, I’m thinking. If I’m a client and I want to partake in some of this new technology, does it take me longer to test it or am I going along in testing it with you. How does that – does that elongate kind of somebody consuming a new product? That’s question number one. And then number two, and I’ll get off. Is there any – I know that you guys put a lot of thought in this. So have you dialed this into how management team or even a couple layers down are compensated related to that? So thanks for those thoughts. Appreciate it.
Mark Begor: Yes, great question, Brett. First on the migration, you hit on the head that in some regards, that’s the most challenging part of this process is moving your customers from a legacy platform to one of the new platforms and that’s not new for us. We’ve been doing that for a long time, because we’re – we’ve been constantly upgrading our technology. Our focus is to make it easy for our customers, to make sure that the new application is going to provide value-added services to them, and then we’re going to work with them in their cycle. You know they’re going to have specific cycles about when they’re ready to make a migration or a change given their technology plan. So, we’ll be – we are dialoguing. It’s not a new muscle for us; we’ve been doing it before with our customers and really working through that migration process going forward. On your second question around the incentives, you hit on a really important point. As you might imagine, you’ve got a leadership team here, an organization that is incented to run and grow the business, but at the same time, we’re going to change the tires on the car, whatever the right analogy is, doing a technology transformation. So, the answer is yes, we have put in some specific incentives with the leadership team around the EFX 2020 transformation. We think that’s really important to have them aligned. With that, this massive project as well as aligned with our investors around that project going forward. And then lastly, that we put a security metric in place in our cash bonus plan in 2018, we’re continuing that in 2019. We think that focus around the security incentive is the right one. I think you know we’re the only companies out there that has this kind of a metric and the way it works is in – we’ve got 3,000 people that are in our AIP bonus plan, and there is – the 25% of that bonus is tied to the organizations and individuals progress around security and it’s only punitive. So meaning, if we don’t meet our security goals, which we did last year, so there was no takeaway in 2018, but we don’t meet them in 2019, there could be a metric there. Other big believer in aligning people and the organization around what our goals are. So, we’ve got very good goals around growth and financial incentives. We’ve got the security goal and then we’ve added this EFX 2020 incentive to align the organization around this technology transformation.
Brett Huff: Great. Thank you.
Operator: And we’ll take our next question from Bill Warmington with Wells Fargo. Please go ahead.
Billi Warmington: Good morning, everyone.
Mark Begor: Hey, Bill.
Billi Warmington: A question on the revenue pipeline. Last time when we talked, it was reaching a two-year high. I believe although you had mentioned it was heavily weighted towards the first and second stages of that pipeline. I just wanted to ask, how you would describe that pipeline in those terms today.
Mark Begor: Yes, Bill. I don’t remember saying a two-year high, but I probably did or one of us did. But there’s no question of pipeline build through the year last year and that continued in the fourth quarter. I think John talked about our execution on deals in the fourth quarter. I know you’re referring to USIS I believe in this, in your comments, which is what we’ll address and that’s continuing in the first quarter. We just have active dialogs. We feel like we’re back to kind of normal commercial discussions, the security discussions, we’re not having really anymore with our customers. Although, our customers continue to want to learn from us about what we’re doing, when you’re investing the amounts we are in security and technology, we’re putting cutting edge stuff in. So there, we’re doing a lot of best practice sharing which builds our relationship, our partnership with our customers. But as we continued in the first quarter, we see those pipelines continue to be quite strong; at the same time, we try to be clear on this call and prior calls that predicting the closure rate on those when you’re still building pipelines versus a run rate pipeline that we had in September 2017 before the cybersecurity incident. And as you know, that kind of new deal pipeline in September 2017 went away and we’ve been working hard to build that over the last 15, 16 months and continued positively, which is reflected in the guidance we tried to give for 2019 and how we see USIS progressing as it goes through the year. But again with that caution that this is hard to predict on when deals are actually going to close. So that’s the one that we’re not back to our normal ability as John mentioned a few minutes ago to really forecast how our yields are going to close inside USIS and that’s still to come for us.
Billi Warmington: And then as a follow-up question on the work numbers. You highlighted the very strong records growth nearing 90 million. What do you see as a total opportunity there and then how much are the match rate actually improving as a result of the higher records?
Mark Begor: Yes. On the first half of your question, we just see a lot of opportunity. I use the term with you before and others on this call and I use it internally with Rudy and his team EWS. From my perspective, EWS is really in the second inning of their growth. And as you know, you own the business for a decade, a record growth in one of those. As you know, there’s – I don’t know what the right number is, something around 150 million non-farm payroll or 90 million, we’ve got a lot of growth opportunity to grow our records and we talked about how that record growth was accelerating In the fourth quarter and through the latter parts of the year from our technology investments, partnerships we have. So, we expect record growth to continue and with the top-end on that, it’s hard to say. But we’re energized about the opportunity going forward. The second half of your question on the match rate, I don’t know John, what that is?
John Gamble: And quite honestly, given that the way we serve customers are so different by customer and by application, be difficult for me to give you an average. Just needless to say as Mark said, right, as the database grows, our ability to respond goes up and it’s a significant benefit to us.
Mark Begor: And again, I mentioned a couple of times on this call, the beauty of this business is that we had in that record today and it’s monetized tomorrow. That’s kind of the great thing about the business when you’ve got a lot of use cases, whether it’s mortgage or government or ticket and your hit rates go up, that means your revenue goes up. So, it’s quite an exciting workforce.
Billi Warmington: Got it. Thank you very much.
Operator: And we’ll take our next question from Gary Bisbee with Bank of America Merrill Lynch. Please go ahead.
Gary Bisbee: Yes. Hi, good morning. On the Equifax 2020 initiatives, I guess, you said you won’t add back any of the costs beyond 2020. But is it safe to say the vast majority of the investment and changes completed by the end of 2020? And as part of that, would it be reasonable to think that you begin to see some benefits during the next two years if this happens or should we really think that the benefits really accrue beyond 2020, both on the ability to deliver stuff quicker to the customers in your internal innovation and the cost side? Thank you.
John Gamble: We expect to make a lot of progress in the next couple of years, but in terms of the specific response to your question, we need to let some time pass. And yes, we do expect to see benefits as we move forward, right. We said we’re going to see – we’re going to see major changes move into the data fabric in 2019. That absolutely benefits us as we go into 2020, operationally, speed to market, a lot of different ways. So, we certainly do expect to see benefits. Financial benefits don’t happen until you turn something off, right. Turning something on doesn’t give you financial benefit, but turning it off does. So the turning it off part, so the financial benefit, that’s a lot more starting in 2020.
Mark Begor: Gary, I think we also try to give some color this morning with actually – when some things are happening, we try to spice them out as you know things that were installed in the fourth quarter, things are happening in the first quarter. So that is going to provide benefits. It’s not a switch that’s going to be switched on at the end of 2020. This is going to happen all the way through this timeframe and beyond 2020. The benefits are going to accrue from these significant investments.
Gary Bisbee: Great. And then the follow-up. As both of you discussed the 2019 outlook and I appreciate all the commentary you provided. An awful lot of it sounds like it gets a lot better as the year goes on. I realize a bunch of that is comps and sort of market stuff around mortgage. But can you help us gauge your confidence just on the deliverability of what sounds like a much more back loaded and aggressive Q1 to Q4 ramp that you’re talking about? Thank you.
John Gamble: We tried Gary to give you some color. I think you got to be the judge on that too, but we’re trying to give some color on the significant part of the comps on this, meaning, the cost in the first quarter versus the ramp rate that we had last year, the mortgage headwinds that we start to comp out on as we get into the second half. So, there is a big element of that. And at the same time, we gave a range that we were intentional about for revenue and EPS, because there are some uncertainties out there that we wanted to make sure you understood. At the same time, there’s a number of our businesses, in particular, EWS that we have a lot of visibility and kind of clarity on, when you think about the headwinds in Australia for international and a lesser degree Argentina, and then the U.S. mortgage headwinds in United States, we try to – for USIS, we try to put a box around those of what we think is reasonable. But those have been proven to be hard to forecast for us in the last six to 12 months. And then you lay out the last factor on top of USIS, we think we’ve got a good case here inside of the range that we provided, but we know that is less predictable today than it has been in the past.
Gary Bisbee: That’s helpful. Thank you.
Operator: And we’ll take our next question from Ashish Sabadra with Deutsche Bank. Please go ahead. And we’ll move on to our last question for today from Jeff Meuler from Baird. Please go ahead.
Nick Nikitas: Hey, guys. This is Nick Nikitas on for Jeff. Thanks for squeezing me in. So just coming back to the tech transformation timelines, really helpful detail and understandably, it sounds like there’s a lot still going on. But just given it sounds like it will remain fairly intensive over the next 12 to 18 months. Can you just talk about how that’s impacting the go-to-market opportunity? And Mark, you talked about multiple versions for an application. So is that in a dynamic that’s still a somewhat material governor on new business or are we kind of past the peak point of headwinds and you’re starting to see improvement there?
Mark Begor: Yes. From our perspective, Nick, I would and John you should jump in. We don’t see the tech transformation impacting our ability to grow. It’s really going to be a positive going forward and we got focused and dedicated technology teams. We’ve ramped up a lot more resources there. So, this is focused, the teams that are working on it are working on it. Our commercial teams are just doing what they should do every day, out there selling. Now, they’ll have a role when we get ready to use the migrations of working with our technology team, with our customers, technology team and their counterparts inside of our customers, but I don’t see this having an impact on impeding growth in anyway. And the other element is, when we talk to customers, you think about, if you’re going to be partnering with someone, who is going to make this kind of investment in their infrastructure, we’re doing it for our customers. So, it becomes a very positive dialog about the partnership with our customers. They’re quite positive about what we’re doing on technology, what we’re doing on data analytics, the ability for them to more easily access the data, this becomes an easier commercial discussion about doing things this week and next week, because of the kind of partner we’re going to be long-term for them when we complete elements in this EFX 2020 transformation.
John Gamble: And as we said in the past, right, I mean, the thing that we – that we just have to keep in mind and focus on is the fact that when you add this much additional activity, right, it does create more complexity. So, as Mark said, we’re focused on making sure that it doesn’t impede the way we’re able to deliver, but it’s also a significant challenge for our team that they have to stay very focused on, because when you’re going through a transformation and adding this much resource to try to do it at pace that it absolutely will impact your – it does create more complexity in your processes and just something we have to work through.
Nick Nikitas: Okay. That makes sense. And just a quick one on the mortgage. I think, Mark, you mentioned some shift in the reseller end market. Can you just talk about what that was and if it’s incorporated to the end-market forecast you guys outlined or I guess it will be slightly incremental?
Mark Begor: Yes. That’s just – in our business, we used go-to-market in two different ways in mortgage. We have mortgage solutions, where we actually sell the tri-merge report, we take our reports, combine it with our competitors and sell the report or – and/or we simply sell our report to somebody, who does that combination so, to a reseller. And we are just talking about that we see – we have seen shifts – channel shifts in and out of our core mortgage business as we move through the year. And as we get into 2019, we’re probably going to see continued channel shifts. We would expect probably away from us in core mortgage in the first half.
Nick Nikitas: Okay. But all of that’s included in kind of the end market forecast of…
Mark Begor: It is, it is absolutely, because that doesn’t change the number of inquiries. It just changes what we deliver, yes.
Nick Nikitas: Okay, great. Thanks.
Operator: And there are no further questions at this time.
Mark Begor: Great. Thank you very much.
John Gamble: Thanks everybody.
Trevor Burns: Thanks everybody.
Operator: And this does conclude today’s presentation. We thank you for your participation. You may now disconnect.